Unknown Executive: Good afternoon, ladies and gentlemen. Welcome to Sun Hung Kai Properties FY 2025 Annual Results Analyst Briefing. It's a pleasure to see you all here today. I'm especially glad that the weather is coordinating this year. We don't have typhoon or black rain storm to interrupt. As in previous years, I will begin by sharing a summary of our financial results and business performance, after which our senior management will join the Q&A section. Let's start with the group's financial review. Please note that all figures are in Hong Kong dollars unless stated otherwise. For the year ended 30th June 2025, the group's underlying profit amounted to about $21.9 billion, which increased by 0.5% year-on-year. The main increase is primarily driven by high underlying profits from sale of trading and investment properties as well as lower finance costs, which partially offset by impairment provisions of development properties. Including the net effect of revaluation loss of around $0.7 billion on investment properties and fair value gains of around $1.8 billion realized on sale of investment properties. The reported profit was $19.3 billion, an increase of 1.2% year-on-year. The underlying earnings per share was up 0.5% to $7.54, while reported earnings per share was up 1.2% to $6.65. As for dividend, the Board of Directors has recommended a final dividend of $2.80 per share. Together with the interim dividend of $0.95, total dividend per share for the full year will be $3.75. Moving on to the profit breakdown by segment. The group's property development profit increased by 5.6% to around $8.3 billion, mainly due to higher contribution from the Mainland. On property rental, the group's net rental income decreased by 3.2% to around $18.4 billion, mainly due to a 3.5% drop in net rental income from Hong Kong portfolio and a 3.2% decrease in net rental income from the Mainland portfolio. As for hotel performance, an operating profit of $615 million was recorded from the group's hotel business, down from $650 million in FY 2024. Profits from other businesses rose by 0.7% to around $4.9 billion. So altogether, the group's total operating profit for FY 2025 was down slightly to about $32.2 billion. On our financial position, as of the end of June this year, the group's net debt was $93.3 billion. The net gearing ratio was 15.1%, a significant improvement from 17.8% as at the end of December last year. Interest coverage for the period was around 6x compared to 4.6x a year ago. The group will continue its prudent financial management. As seen from the graph, we have further reduced our net debt as it comes down from its peak in December 2023. Net finance costs dropped by 24% year-on-year driven by lower debt and borrowing costs. During the year, Moody's upgraded the group's outlook to stable from negative affirming A1 rating. The group will continue to maintain a stable base of recurring income. We will also make use of our quality brand and products to drive sales. The group has raised sufficient RMB-denominated funding to better align its asset and liabilities denominated in RMB. As at end of June 2025, about 55% of the group's total borrowing were either at fixed rate or tied to RMB floating rates. We also achieved a well-balanced debt maturity profile. Let's turn our attention to the group's different business segments. In Hong Kong, as of the end of June this year, the group's total land bank was about 57.4 million square feet of attributable GFA. This includes 37.7 million square feet of completed properties and 19.7 million square feet of properties under development. Among the completed properties, retail accounts for 33% while offices accounts for 29% of total. For properties under development, about 13.2 million square feet were residential properties under development for sale. During the year, the group added 5 residential sites with attributable GFA of about 1.6 million square feet to its land bank. After the end of financial year, the group settled the land premium for the redevelopment in Cheung Sha Wan, spanning 460,000 square feet. Regarding land resumption, landlords in Hung Shui Kiu/Ha Tsuen area were resumed with a compensation of about $3 billion during the year. The corresponding gains have been recognized in FY 2025. Landlords primarily in San Tin and along the Northern Link Main Line, will also be resumed. Compensation of about $1.2 billion will be recognized in FY 2026. Next, let's look into property development business in Hong Kong. For the period, the group's recognized property sales in Hong Kong increased 6% year-on-year to $26 billion. Major contributors of operating profit $3.2 billion included YOHO WEST Phase 1, the YOHO Hub II and NOVO LAND Phase 3B. Additionally, about $2.2 billion of underlying profit were recorded from the disposal of Dynasty Court, including this, the overall profit margin was 19%. During the year, about 1.5 million square feet of attributable residential GFA was completed. Contracted sales not yet recognized amount to $35.6 billion, of which around $30.1 billion is expected to be recognized in FY 2026. Hong Kong's residential market showed further signs of stabilization. Sales in the primary market has been active. The group achieved contracted sales of $42.3 billion. The major contributors included Cullinan Sky Phase 1 in Kai Tak, Sierra Sea in Sai Sha, Victoria Harbour II in North Point, YOHO Hub II in North Point and YOHO WEST Phase 1 and Phase 2 in Tin Shui Wai. In addition, the sale of premium units at Dynasty Court in Mid-levels Central continued to receive positive market response. This map shows our diverse mix of new projects. In the next 10 months, projects to be launched will include Sai Sha Residence Phase 2A and 2B, the completed units from the second phase of Cullinan Sky and Cullinan Harbour in Kai Tak, a project near MTR Tsuen Wan West Station and the first phase of a large-scale development near MTR Kwu Tung Station. Moving on to our Hong Kong rental portfolio. During the year, the group's rental portfolio in Hong Kong recorded a gross rental income of $17.5 billion, a decrease of 2.3% year-on-year. Overall occupancy remained stable at around 92%. There was a modest decrease in gross rental income from the retail portfolio while office market remains challenging. The group's residential leasing saw a solid increase in revenue, driven by higher rent rates and a full year contribution from TOWNPLACE WEST KOWLOON. Performance of the group's Hong Kong retail portfolio was resilient with a stable occupancy of about 95%. The group proactively strengthens the competitive edge of its malls. This includes exploring new opportunities with pioneering formats and refining tenants and trade mix to bring novelty. We also developed close and long-term relationships with tenants, which helps with their retention. The group offers a diverse retail portfolio with distinct positioning, which includes flagship and regional malls. To enhance the shopper experience, we refine our tenant mix and shop layouts to introduce net new stores and popular shops. More family and pet-friendly facilities and services were introduced to our malls. We also offer innovative retail formats, GO PARK Sai Sha, a sporting commercial complex is the first of its kind in Hong Kong. The Point, our integrated loyalty program has introduced a VIP program, the Point Gold during the year. There was a steady increase in spending by active members and high-value customers. The new programs provide members with unique privileges by integrating resources from the group's malls and various businesses, creating synergies. The Point Gold members can now enjoy a reservation of superfast EV charging services. Moving on to office rental performance. Despite the challenges, we maintained stable occupancy. Our portfolio benefits from the flight to quality trend. Key strengths include high green building standards, professional property management, excellent transport and comprehensive amenities. The occupancy of our landmark IFC and ICC was about 92%. Our expanding property investment portfolio will strengthen our recurring income base, a highlight is the high-speed rail West Kowloon Terminus development, which comes with high green building spec, a major oriented design and wellness elements. The Grade-A office towers called the International Gateway Center, IGC, is scheduled for handover starting in early 2026. Finishing is ongoing. A mall underneath IGC will introduce diverse lifestyle and F&B offerings. This project, together with the Artist Square Towers project also under construction, will create strong synergy with the ICC cluster. In the next 2 to 3 years, the group's recurring income base will be further expanded as new investment properties come on stream. In addition to West Kowloon developments, other projects include Cullinan Sky Mall in Kai Tak, Scramble Hill in Kwun Tong and a commercial complex in Mong Kok. Now regarding our property business on the Mainland. As of the end of June this year, the group's land bank on the Mainland was 65.3 million square feet of GFA on an attributable basis. There were 21.1 million square feet of completed properties and 44.2 million square feet of properties under development. Among completed properties, 43 were shopping centers and 38% were premium office. Regarding our property development business on the Mainland. During the year, the group's recognized property sales on the Mainland rose by 214% year-on-year to about $8.4 billion, mainly due to higher sales volume of residential units. Development margins were robust. As of the end of June this year, about RMB 8 billion of contracted sales had yet to be recognized. Most of them will be recognized in FY 2026. During the year, the group achieved contracted sales of about RMB 4 billion on the Mainland. Major contributors include the detached houses in Lake Genève in Suzhou, and new batches at Park Royale and Forest Park in Guangzhou. Over the next 10 months, 4 projects will be launched on the Mainland. You may refer to the table here for details. Moving to our Mainland rental portfolio. During the year, the group's gross rental income from the Mainland rental portfolio decreased by 2.1% year-on-year to about $6.2 billion. In RMB terms, it was down 1.9%. Incremental contribution from newly completed projects partially offset the drop in turnover rent of retail portfolio and downward pressure on office rents. For the group's integrated projects, they include different components that are complementary to each other. The projects also enjoy convenient access to transport. An example would be IFC in Shanghai. Thanks to our unique positioning and proactive approach. The retail portfolio saw a resilient performance, occupancy for major malls remain high despite competition. Our office portfolio is known for excellent building standards, great transport and professional management services. Office tenants also enjoy comprehensive amenities offered by the group's mall and hotels within the same integrated complexes. Our property investment portfolio on the Mainland will be further expanded upon the completion of a landmark project, ITC in Shanghai. The remaining portion of 3 ITC will be completed later this year. Office Tower A, which was completed earlier has ramped up its occupancy to nearly 80%, contributing positively to the results. Shopping mall ITC Maison will open its first phase in the second half of this year, featuring trendy F&B. A hotel Andaz Shanghai ITC will further enhance the variety of amenities within the complex. The project will be linked to the surrounding community by pedestrian bridges and plazas, enhancing its connectivity. Let's turn to our hotel business. During the year, the group's hotel portfolio in Hong Kong has seen improvement in room revenue and high occupancies. The change in spending pattern weighed on the revenue from F&B. Operating profit of this segment decreased 5.4% year-on-year to $615 million, down from $650 million in the same period last year. As we mentioned earlier, our new hotel and Shanghai ITC will open at 3 ITC late this year. Moving on to ESG initiatives. The group's commitment to ESG is well recognized by the industry. For example, the group's MSCI ESG rating was upgraded to AA during the year. In other highlight, ITC became the first building in Asia to secure a [ top green cert ]. The group also provided rent-free space for operation of a community living room. GO PARK Sai Sha was officially launched earlier this year. It serves as a venue for charity events and also allow families to spend quality time with their kids and pets. Our new destination, Ma Wan 1868 has opened to the public. Our next session is the market and business prospects. On market prospect, globally, the environment is expected to remain volatile and uncertain. Monetary easing by major economies and higher chances for U.S. interest rate cut will favor economic growth. In Hong Kong, an active financial markets and a growing tourism industry will drive moderate economic growth. With rising home rents and expectations of lower interest rate, buyer confidence and transaction volumes in residential markets are expected to continue improving. For the Mainland, the economy is expected to maintain steady growth with proactive fiscal and monetary measures, efforts to drive high-quality development and opening up will build resilience. Supportive policies will help drive consumption. On our business prospects. The group will build on its solid foundation and continue with prudent financial discipline. It will maintain a sizable and stable base of recurring income from rental and non-property businesses by the following strategies. The group will adopt a proactive leasing approach to strengthen its competitive edge. We will cultivate long-term relationship with tenants and customers. Also, we will strive for incremental contributions from newly completed projects. In Hong Kong, our new projects include Cullinan Sky Mall, Scramble Hill and High Speed Rail West Kowloon Terminus development. In Shanghai, we have 3 ITC. With our premium brands and products, the group will aim for high asset turnover in property development business. We will continue to launch new projects for sale when ready. We will review our portfolio regularly to enhance returns and asset turnover. To conclude my presentation, I would like to highlight this passage, which is an extract from the Chairman's statement. In navigating through the current economic transformation, the group will build on its solid foundation and extensive experience, while adhering to prudent financial discipline as always. With strong execution capabilities, the group's management and team will put into practice its long-standing principles and time-tested strategies to strive for sustainable growth, while exploring potential application of AI to better understand market trends and further enhance both efficiency and service quality. Leveraging its strong financial position, the group is able to make investments for its long-term development when opportunities arise. As in the past, the group will continue to support the city's evolving needs and build properties that prioritize quality of life for all. This is the end of my presentation. Thank you.
Unknown Executive: Thank you for joining today's briefing again. Let me first introduce the panel members. Starting from your left, Mr. KW Lo, Member of the Executive Committee; Ms. Maureen Fung, Executive Director; Mr. Allen Fung, Executive Director; Mr. Christopher Kwok, Executive Director; Mr. Victor Lui, Deputy Managing Director; Mr. Raymond Kwok, Chairman and Managing Director; Mr. Mike Wong, Deputy Managing Director; Mr. Adam Kwok, Executive Director; Mr. Eric Tung, Executive Director; Mr. Frederick Li, Group Chief Accountant. I would now like to invite Chairman and Managing Director, Mr. Raymond Kwok, to share the key messages from today's results announcement. Mr. Kwok, please.
Ping-Luen Kwok: Thank you. Good afternoon, ladies and gentlemen, thank you for joining today's briefing. Let me highlight our key developments and strategy. During the year, the group maintained stable business performance despite an uncertain global economic environment. Over the past 6 months, Hong Kong's residential market showed further signs of stabilizing. During the year in attributable terms, the group recorded contracted sales of about HKD 42.3 billion. This is the highest level over the past 5 financial years. Major contributors include Cullinan Sky Phase 1 in Kai Tak, Sierra Sea Phases 1A(2) and 1B of Sai Sha Residences. Victoria Harbour II in North Point, YOHO WEST Parkside atop Tin Wing Station. In addition, the sale of our luxury units at Dynasty Court in Mid-levels Central continued to receive a positive market response. As the residential market sentiment improves, we will continue to pursue high asset turnover in our property development business. In July this year, we launched NOVO LAND Phase 3A in Tuen Mun and achieved an encouraging sales performance. Over the past 10 months, the group launched completed units from the second phases of Cullinan Sky and Cullinan Harbour in Kai Tak. We shall also launch other new residential projects, including Sai Sha Residences Phases 2A and 2B, a project near MTR Tsuen Wan West Station and the first phase of a large-scale development near MTR Kwu Tung Station. Sai Sha Residences is a prime example, which showcases our strength in delivering large-scale integrated projects blending nature with more than living. The project offers wellness, family and pet-friendly features, also comes with comprehensive facilities like the sports and commercial complex Go Park Sai Sha nearby. Sales of Sierra Sea was very encouraging, and we achieved a high subscription rate in recent years. This demonstrates the popularity of a coastal lifestyle among our Hong Kong people. For property investment business in Hong Kong, the overall occupancy of our rental portfolio remained satisfactory. Despite the challenging economic environment, our office portfolio achieved a high retention rate and benefited from the flight to quality trend. The average occupancy of our IFC and ICC was 92% during the year. We shall continue to strengthen and expand the commercial hub in West Kowloon as another CBD beyond Central for the 2 projects now under development. First project that IGC offices atop the High Speed Rail West Kowloon Terminals will be ready for handover to tenants starting in early 2026. And the second one, construction of the Artist Square Towers project next to the M+ museum is underway. These two new projects, together with the group's ICC and our hotels on top of Kowloon Station will form a prominent commercial hub with a GFA of over 7 million square feet. For our retail portfolio in Hong Kong, our malls maintained high occupancy during the year by refining the tenant mix and embracing innovation. The drop in tenant sales has narrowed in the first half of this year. The Point, our mall loyalty program has recorded a steady increase in spending by active members and our high-value customers. Meanwhile, we recently launched the Point Gold VIP program to reward these high-value members to enhance their loyalty. Looking forward, our retail portfolio will be further expanded when new projects come on stream. First one, Scramble Hill, a shopping mall near APM in Kwun Tong will start opening in phases. This new mall will create synergy with both our APM and the group's office clusters in the Kwun Tong area. The second one would be the Cullinan Sky Mall in Kai Tak that will open in phases starting from the fourth quarter of this year. Moving on to our Mainland business. During the year, our group launched detached houses from Phase 2 of Lake Genève in Suzhou which quickly was sold out. For the rental portfolio, the group has proactively enhanced the services and tenant mix. Major malls continued to achieve high occupancy while our premium office portfolio maintained its competitive edge to ride on the trend of flight to quality for our tenants. In the year ahead, the completion of 3 ITC in Shanghai will mark a major milestone for the group's Mainland business. The remaining portion of the project includes the office skyscraper Tower B, the flagship mall ITC Maison and hotel Andaz Shanghai ITC. Construction has come to the final stage and this project will be completed later this year. Looking ahead, as the Hong Kong economy undergoes transformation and active financial market and a growing tourism industry will drive moderate economic growth in the near term. With the support of the motherland and under the framework of One Country, Two Systems, Hong Kong will continue to attract both talent and capital serving as a springboard for mainland enterprises to go global. The group remains confident in the long-term prospects of the Mainland and Hong Kong with our solid foundation and in line with our prudent financial discipline. The group is well positioned to make investments for long-term growth when opportunities arise. In addition, we shall review our portfolio regularly to enhance returns and improve our asset turnover. As always, we should continue to support the city's evolving needs and develop properties that prioritize quality of life for everybody. Thank you.
Unknown Executive: Thank you, Mr. Kwok. Now we open the floor for questions. [Operator Instructions] So may I have the first question? So the gentleman in a third row in a black blazer.
Karl Chen: This is Karl Chen from JPMorgan. I have 4 questions all about the residential market. So my first question is about your outlook for the Hong Kong residential market. Do you think that the market has bottomed? For the pricing strategy, I think, for the recent launches by Sun Hung Kai, I think that the pricing has still been rather conservative. So just wondering for our upcoming launches, do you think you'll get more aggressive in terms of pricing, especially for Cullinan Sky in Kai Tak? So that's my first question. And second question is what's your contracted sales target for Hong Kong DP in the financial year 2026? And do you have any colors on how your launch plan will be for Sai Sha as well as other major Hong Kong residential market projects for 2026? So that's my second question. And my third question is on the upcoming policy address. Do you expect any further policy support measures from the government? I think recently, there has been more speculations on how the government may do the property connects, right? Or maybe easing in stamp duty. So from your perspective, what kind of measures do you think the government might introduce in the policy address? So that's my third question. And my last question is on land banking. Just curious, right now, what's your land banking appetite, what's your plan, any preferences in terms of geography or sector. So say, for example, are you interested in reinvesting more in commercial or your focus on reinvestment will still be mostly on residential. So that's my 4 questions.
Ting Lui: Yes, on the residential market, although the HIBOR rebounds recently, I think the trend of low interest rate will continue backed by the possible interest rate reduction in this month and end of the year. And due to the influx of talents and students, we have seen that residential rents are rising quite rapidly in the summer, and the trend is continuing. This will induce a lot of renters becoming home buyers. We have also seen a lot of common cases on positive carries, especially on the new projects as the month -- as the rental collected is exceeding the mortgage payment, they will also attract more investors buying an apartment for rental purpose. Adding to the robust performance of the stock market, I think the central market will continue to do well in the rest of the year. While our inventory level is dropping continuously, we can absorb 1,500 and 2,000 units per month. So all these factors are supporting that the market is now proceeding to a bottom-up situation very soon. Regarding Sierra Sea, you may aware that we have an overwhelming sales earlier this year. We have collected a total registration of over 40,000, which is a record in the public history in Hong Kong. The project is a very unique project, blending nature and beautiful environment and also with comprehensive facilities also with a coastal scenery. The prices we achieved for the first phase is good and reasonable. I think we can have some room to increase our price when we market the second phase in the first quarter of next year. Regarding on the sales, we have a very good pick up on NOVO LAND in the past 2 months. And in the next 10 months, we shall have a number of projects to be launched mainly Phase 2 of Cullinan Sky and Cullinan Harbour, both on complete projects. In early next year, that would be Sierra Sea Phase 2. Also with our Tuen Mun residential project, which is close to the West Kowloon Station. In the middle of the year, that would be our Phase 1 of Pudong project next to the future station. So you can see we have quite a number of projects to be launched. We have a good sales in last financial year, over $40 billion, which is exceeding our target. For this year, we have -- we set our target of $30 billion, mainly due to the fact that there may be some uncertainties of presale consent approvals for some projects. Certainly, we hope we can get all our sales consent on time so that we can book more revenue on sales later. On the margin, I think every developer has their own sales strategy, considering their land bank position, financial position. For us, we are always trying to aim at a quicker turnover on mass project like NOVO LAND, YOHO WEST and for luxury projects, which are normally difficult to replace, we shall dispose our units at our pace. Having said that, we have sold quite a number of buildings in Victoria Harbour and Dynasty Court in the past few months. They are at very good margin. In fact, in the coming months, we shall have two luxury projects in Kai Tak. That Cullinan Sky and Cullinan Harbour. We are very confident that we can still create a lot of eye-catching transactions like we market these two projects in the coming months. On the government policy, I think it is not easy to predict whether there will be any supporting measure on the residential market. But the closed loop public connect and also the relaxation of stamp duty under discussion will certainly benefit the residential market. Recently, the relaxation of stamp duty to 4 million did attract the secondary market a lot. If the relaxation can extend to 5 million or even 6 million, I think that would also pay additional transaction to the primary market and also strengthen the property ladder for replacement and also upgrading. On land banking, we are very happy that we can acquire 3 beautiful sites in last financial year, both the Siu Lek Yuen and Tai Wai site are situated very close to the MTR station and located in a mature community, while the Tung Chung site is having the coastal -- panoramic sea view. We have also acquired 2 sites through land exchange and premium negotiation that is the Fanling North and also the [ Hang Seng ] site. Both can be redeveloped into small- to medium-sized units, which are very suitable for today's market. As for commercial sites, I think, as you know, we have some sizable integrated project on hand still under development. So at this moment, we shall focus ourselves and on the execution of this project.
Unknown Executive: Thank you, Mr. Lui. So could I have the second question? The gentleman in the third row, second seat.
Unknown Analyst: This is Christian. I'm from [ State]. So I have 4 questions. The first one is on investment. So given a lower gearing and as well as the lower interest rates, we will see more room for more active investment this year? How would you prioritize between new investment paying down the debt or the shareholders' returns? So the second question is on dividend. Would you consider to change your dividend policy, for example, to a more aggressive dividend policy or payout ratio based on the recurring income base? And what is the management view on the buyback, on the share buyback? The third question is on the interest cost. So given the recent HIBOR move, how would you adjust your financing strategies? And how much do we expect for the lower interest costs in financial year of 2026? The last one will be on the land investment. So how would you allocate the land investment between government auction as well as on the farmland conversion?
Ping-Luen Kwok: Yes. We -- I think we'll just wait for the right opportunity. I think for the moment, as you noticed, we have been paying down our debt and improve our liquidity and debt ratio. So at the right time, at the right moment, we'll -- well, I think for the past 12 months, we've been already buying residential land, right? So I think for the moment, we'll focus on buying residential land, but it has to be the right location and has to be -- the project has to be sizable enough. Yes. Your second question is on the dividend. I think we've always been telling the shareholders that we'll be paying 50% of the underlying profit, right, which we are paying this year, 50%. So we won't consider any buyback because at the moment, I think it's important to keep our dry powder so that we can buy at the right opportunity. For interest costs, I think for 2024, '25 we are paying 3%, Frederick, overall, right?
Ching-Kam Li: Our interest cost has been reduced from 4.4% last year to 3.7% this year. Yes, right.
Ping-Luen Kwok: And 60% are either fixed rate or RMB, right?
Ching-Kam Li: Right, yes.
Ping-Luen Kwok: So I think that seems to be a good ratio, yes. On the land acquisition, I think we don't really distinguish between buying from auction or buying from private individual buying from farmland conversion. Of course, our holding of the agricultural land we would hope we can convert more to residential. We always want to buy agricultural land for ultimate development. And -- but if the government really wants to speed up, I think, of course, we will comply with their wish, yes.
Unknown Executive: Thank you, Mr. Kwok. So could I have the third question? So the gentleman in the third row, the second seat in a blazer.
Mark Leung: This is Mark Leung from UBS. I've got 3 questions. First of all, is regarding on the 2026 earnings. I just wanted to check with management, what is our thoughts on next year earnings? You mentioned we focus on asset turnover and also not sure what kind of capital recycling plan we are targeting in next year? And also what is the long-term growth for Sun Hung Kai? Yes. I think that's the first question regarding on earnings and capital recycling. Secondly would be on the Hong Kong retail. So can we check about what -- how sustainable do you see for the resident Hong Kong retail sales recovery? What kind of rental reversion we achieved it in previous months and also our outlook for that one? And also on the leasing strategy side, because we still have some threats coming from cross-border online platform as well as maybe outbound travel. So keen to hear your thoughts about that. Lastly, maybe on the Mainland side. So what is the pre-leasing rates for Shanghai ITC? I think one of our anchor tenants has been moved out. So what is the replacement plan for the ITC. And also on the ITC retail part, any colors on the pre-leasing and also maybe some housekeeping on the IFC tenant sales and reversion?
Ting Lui: Yes, I'll answer that question on the retail market first. I think the retail sector has seen major changes and challenges over the past 2 years. I think the correction in retail sales at our malls has been narrowing down. And so is -- and the occupancy cost has remained stable, while the rental reversion is largely in line with the overall market. And as you've said, there's been -- we think there are some signs of improvement. And indeed, over the summer holiday tenant sales at our malls have continued to improve. And from January to June of this calendar year, our malls have performed slightly better than market in terms of our retail sales. In terms of the -- of the momentum of this improvement, I think there are a few factors that reinforcing this positive trend. One is that there's an upward trend in the stock index and the IPO market is quite strong. Usually, that leads to wealth creation and benefits consumption. And second of all, the resumption of the multiple entry individual business scheme. I think that has led to -- we have observed more our Mainland visitors at our shopping malls. And we hope that if the government can expand that to more cities beyond Shenzhen, that will be a big positive for Hong Kong. Finally, Hong Kong in the past half year or so has played host to an increasing number of successful mega events, which has brought in more tourists. And as I'm sure all of you are aware that over the past 2 months, there has been a meaningful increase in tourist arrivals and we attribute that significantly to the increase in number of mega events. So these are all positive factors to the retail sector in Hong Kong. And for us, I think we continue -- on the operations side, I think we continue to work on refining our tenant mix by refining the -- we're designing our shop sizes and layouts to bring more popular shops, including Mainland and Japanese F&B brands, which are first to Hong Kong in our malls. And we also make sure that most of them will have strong track records in Guangzhou and in our malls in China -- Mainland China, also leveraging our network in Mainland China. We also try to continue to improve our customer experiences, for example, by introducing more family and pet-friendly amenities and making better use of the open spaces at our malls. We're also experimenting with newer retail formats, the combined shopping and lifestyle elements such as our new sporting complex, GO PARK in Sai Sha, which opened earlier this year with a strong success and which I encourage all of you to visit when you have the chance. Yes. And in terms of the IFC Shanghai. For our Mainland portfolio, I think the overall consumption sentiment in Shanghai have shown meaningful improvement this summer. And for Shanghai IFC Malls, we have seen a strong recovery in sales starting June this year. Thanks to introducing our new tenants such as [indiscernible] and also the continued expansion of some of our luxury retail tenants. I think right now, the environment, I think, in Shanghai is that tenants are generally more cautious about expansions, but they are also -- similar to the office market, there's a flight to quality, right? So they go to shopping malls that are located in prime city locations with good transport connectivity. And they also like to stick with landlords who they can trust. And I think we believe that our experience operating malls in Shanghai and also in the Greater Bay Area region have enabled us to gain the trust of these brands. So we are able to leverage this relationship, right? As you can see, both in our Shanghai IFC Mall, which actually in the next year or so, plans to convert some of our -- maybe some of our hotel spaces into -- for retail uses, right? That's being discussed closely with our tenants. And also, I think this -- we have also -- for managing IFC Mall as well that has kind of bringing in what we do well in Shanghai and expanding that to other cities in Mainland China. So we're confident that we can keep up that. Of course, we have to work hard, right? But I think so far, Mainland China sales have recovered and we've been working hard. And then also, I think -- going forward, I think, again, for -- on the broader macro side, I think retail sales in China has also have some positive factors, right? Especially because the central government has been -- has rolled out different measures to advance the opening up of the market to foreign visitors and also to stimulate the domestic consumption. So if those are to continue, right? I think the trends are of stabilization and growth is there for Mainland.
Ping-Luen Kwok: Okay. KW, would you like to answer on the Shanghai office here?
Lo King Wai: Yes. Our Shanghai ITC project is progressing in the construction of that. The tallest tower is progressing with full steam, and we will be ready by the end of this year. And you may notice that the Tower A has already been completed, and we are now at around 80% occupancy. I mean this is a good proof of the resilience of our quality project and its superior quality as well because of the -- if you look at the connectivity, the amenities, and also, we're going to have a hotel and this hotel is going to be opened later this year and the big shopping mall. And this or that will underpin the future success of our project. Now Tower B, as I said, is in full steam and will be ready, and we've been talking to a number of big users in particular, who have shown great interest of the project. And about the departure of one of our tenants there, I'm pleased to say to let you know that we've been already in talks with a couple of SOEs and big corporations. We are looking for either on block or at least a significant portion of the block. So we are confident that the leasing of the space will take shape, and we will be welcoming new tenants for that block in the very recent future.
Ping-Luen Kwok: Fair. I think on the ITC towers, right, we would like to just share with you that the 2 towers are just on top of the railway station and the hotel is just adjoining, yes. So it's a very good location comparable to our IFC Hong Kong, like hotel and 2 office towers on top. It's very good for tenants that require -- that would like to accommodate their staff for easy access, right? They need to walk 15 minutes in open air to get to the office, right? So it's a very prime office, and this is the kind of integrated project that we would -- we are building, right? So hotel plus good access for the staff for MTR, right? And so actually, we are just combining all the -- our experience into this ITC project. And by the way, we were in Shanghai 2 weeks ago, the Ritz-Carlton was completely full. So I haven't seen so many foreign faces in Ritz-Carlton. So clearly, the foreigners are coming back. As you know, when the foreigners come back, they can see Shanghai and even Tianjin is a Tier 1 city, right? It's better than a lot of the western financial centers, right? It's so well developed. Anyway, so once they are in, they will know that China is back. So I'm happy to say, I think the ITC will come out at the right time, yes. But on the -- on your question about the earnings, I mean, we can't forecast our earnings to publicly. But I could say our recurring income keep on rising because we are building 3 million, 4 million square feet on the IGC project, right, on the office and on the retail. So we can assure that over time, our recurring rental income will go up. And also, we will be acquiring land at the right time. Of course, we are waiting for the right time to buy land on residential, yes. So please be assured that on the recurring income side, it will just keep on going up for the development profit for sale. We're just looking for the right opportunity to buy. Maureen, do you have something to add on the retail side?
Sau-Yim Fung: For the retail part, Sun Hung Kai has been in Shanghai for over 20 years. We are with the partners, the brands up and down. So don't worry about trend because they are now consolidating and come back. We talk to them. We on the ground talk to them on a daily basis about the global development and also the strategy in China. So for our mall, we work in the tenant side for many years. So for this ITC Maison, we just opened about [ 100,000 ] square feet, mainly is F&B to serve the population above. We are on the right path to roll out our road map to catch the retail market in China because we do see that in this summer. Thank you for the central government having lots of initiatives including that of the free visa, the tax refund, all these initiatives, we do see a lot of the foreigner coming to China and also spend a lot there. So it's a matter of time that we need to -- on the ground, we proactively at the same time to micro management service in details to provide them -- to embrace them from the bottom is our usual practice. So for the coming ITC Maison, I do welcome all of you to come there and shop there as a global landmark in Asia. Thank you.
Unknown Executive: Thank you, Ms. Fung. So the lady in the third row, please.
Unknown Analyst: This is [ Cindy Lee ] from Citi. I have three questions regarding your Mainland China business. So the first one is on the general market comments, how is your view for the Mainland residential market specifically in the cities that you operate? Second question is regarding your Mainland China product and land banking strategy. So we know the luxury residential sales in Mainland China Tier 1 cities are actually doing very well. So do you see this as an opportunity for Sun Hung Kai as you have been known for having -- doing strong in high-end residential projects? And what will be your land banking strategy in Mainland China, say, in the near future? Third question is on C-REIT. What do you think of the C-REIT market? Will you consider launching C-REIT to further capture the onshore opportunities?
Ping-Luen Kwok: Sorry, what was your first question, again, sorry.
Unknown Analyst: Your general view on the Mainland China residential market, especially the key cities that you locate.
Ping-Luen Kwok: Victor would you? Adam, okay, yes.
Kai-Fai Kwok: I think, obviously, you know that we operate in a lot of the major first-tier or second-tier cities. And I think you see in the market, especially this year, there's more of a polarization, right, between the Tier 1 and strong Tier 2 cities versus the rest. And thankfully, as you've seen in our contract sales this year, we thankfully in quite a bit of that, actually, if you -- I think the team has done a very good job in showcasing some of our properties here. And for example, this year, we have sold quite well our Suzhou Lake Villa, and they are independent [indiscernible], right? And that has sold out -- we've launched 50 and it's sold out. And then obviously, this year, we booked a lot of our Shanghai Arch Phase 3 residence, which gave us a lot of hands on development profit margin. And so I think, thankfully we're in that. And then next coming up, we encourage all of you to see is our Shanghai IFC service apartment. I think also, our team has done a great, great job and this picture here shows it is at the intersection of the Hanjiang, Hangzhou in [indiscernible] so it is a unique location, and this picture doesn't do it justice. If you go up there and look at the view, it is spectacular. And I think it is perfect to capture the Hangzhou especially the booming tech markets and all the 4, 6, 8 dragons in there and all of them -- and all those who work in there. I think -- so thankfully, we're in a lot of these first tier cities, and we'll continue to capture that. Of course, we also have some projects that are some minor ones in, say, Foshan, which we partner with our Mainland developers is still churning and doing fine. And so as you said, I think our -- and then that answers your first question, right? And so we'll actively continue to sell. And the last thing we'll sell actually is our Shanghai Arch, has these very beautiful last phase villas, and they're very rare and Pudong looking at the fund. And so Victor and the team will launch it this year, and it's quite unique in Pudong. And so that answers the first question. I think your second question is on land banking, right? I think as you see, we have a sizable land bank in Mainland already. And a lot of our focus now is on executing, not only developing it, but leasing it up well, right, as you hear from our colleagues on Shanghai ITC. Now Hangzhou IFC is also coming online and then Guangzhou, also substation ICC is coming online. So I think a lot of our focus is going to be on just developing and executing that well first. And then also, the last thing we will do is control the timing of our CapEx in China. And for some projects that if the commercial demand or office demand is weaker than we expect, then we will face our projects to that and match the timing. So we could -- we will only build what we can lease up or sell.
Ping-Luen Kwok: Yes. And on the C-REIT side, we are not considering at all. We are just focusing on just letting up all the properties now we are constructing. Frankly, the cost of borrowing in China is quite cheap only 2% or 3%, right, yes? So therefore, we'll just focus on finding good tenants for our properties. Yes. Thank you.
Unknown Executive: So could I have the next question? So the gentleman in the second row, please?
Wai Ming Liu: This is Raymond Liu from HSBC. I have 4 questions, mostly in our Hong Kong business. So the first one is about the Hong Kong residential. So like if you look at the Hong Kong DP margin, it actually has been contracting in for quite some while. So do you see any signs of bottoming out given the improvement in sales? What's like the resi DP margin outlook here? And any signs of like potential rebound or actually, what would be like the level of stabilizing or normalized margin down the road? And looking ahead, given like the good delevering process here, would company prioritize the margin over the volume in the coming few years' time? And the second question is actually about student accommodations opportunities in Hong Kong. So how's the view on the student accommodation here in Hong Kong? And would you consider converting some like residential units or commercial buildings into the student apartments here? And the third question, it will be about Hong Kong office. So with like very vibrant financial activities here in the cities, how do you see the office leasing demand in your portfolios? Do you see that there is stabilization in the near term? And can management also share with us what's the latest office rental reversion in the -- for this year? And what's the expectation on next year? So it will be great if you can also provide some hints on the level of Hong Kong rental income for the office portfolio next year because there will be like quite a lot of new completions. And the last one is actually about the West Kowloon IGC project. Can management share with us like the preleasing status here and your target occupancy rate by the end of 2026? And would there be any update on the retail portion, that would be great.
Ting Lui: Yes. Maybe I'll answer the first part on residential, and KW on the second part. And as I just said, for our sales, we are always trying to strike a balance between our volume and margin. For mass project like NOVO LAND and YOHO WEST and even recently, [ CRSC ] normally see for a quicker asset turnover. But having said that, we have sold quite a large number of units in Victoria Harbour and Dynasty Court, they're producing high margin. And in the coming months, there are 2 very exciting projects in Kai Tak, the Cullinan Sky and Cullinan Harbour, I think we can produce a lot of eye-catching transaction too. So overall, I think we can maintain our profit margin quite well in the coming financial year. Regarding the student apartment due to the huge demand on student accommodation, we have seen that a lot of small units close to the NPL station being sought after in the rental market. In our portfolio, we are also benefited, like the TOWNPLACE WEST Kowloon and also the ALVA HOTEL in Sha Tin. For both properties, we can attract a lot of more affordable students and post-graduates. The government have recently allowed the conversion of office building to student apartment. I think this will only benefit what we call the Grade C office building. Usually, they are having a low rental, high vacancy and those better quality office building may not have the incentive to do so. And at the same time, I think to maintain a qualified conversion, that may also involve a lot of valuation costs and CapEx. So the impact on this is yet to be seen on the office market.
Kai-Fai Kwok: Can I just add on the student housing part. I think we have to look at the -- yes, we all know the nonlocal students expanding, but we also have to look at the number of talents coming in. I think the rental market is way more than just student. And if you look at -- actually, our team has made a very good list, maybe they can share some public data of the past 2 years, how many people have come to Hong Kong, right? And this is not just student visas but the top talent pass, the capital scheme, as you guys know, the ING program, which is graduate staying and on -- local graduate staying in Hong Kong, getting for job visas. And all this each year my team has made -- each year, we have already brought in around 135,000 visas approvals. And I would say, quite a few of them come to Hong Kong, right? So our team did a study. And from 2023 to now, so 2.5 years, the total number of visas approvals among all these schemes, students, talents, capitalist and all that is 328,000. So the 328,000 has come in. And as Victor was saying, a lot of the -- obviously, the very top-end guys, some they will buy, but some they would rent from our very signature residential portfolio, but a lot of them actually rents in our TOWNPLACE collections. And then on top of that, we see a lot more -- and then on the, say, the students which are more price sensitive. Actually, even students are not -- we cannot classify all as price sensitive. A lot of them actually, victor would add have come in and bought apartment already, with help from the parent, of course, right? And the Property Connect scheme maybe will even help them further. And then on top of the more price-sensitive ones, you see a lot of competitors doing it, right? You see Sunny House among all others, but we are also actively converting some of our hotels to more long-stay products, especially those near the universities. I think the hotels, if you add beds, if you give the students what they like, social elements, convenience, shuttle bus and so on, our hotels will also become very popular, and it will also drive down our operating costs.
Ping-Luen Kwok: On the Hong Kong office with -- KW, would you like to..
Kai-wang Kwok: Yes, sure. Yes. The recent uptick in financial market activity has spurred a noticeable increase in obviously leasing inquiries. We see this is a very significant indication in the office market. And also Hong Kong's role as a strategic springboard for Mainland corporations expanding overseas. This will and should bode well for the Hong Kong overall office market as many of these companies would like to have a presence in Hong Kong. We are already seeing signs of them coming. In the second quarter of this year, we also have witnessed a positive net take-up. So we believe this is also an encouraging sign of which direction the market is going. We also have seen pretty robust occupancy rates in our premier assets like the 2 IFC and also ICC. Both all these 3 buildings in occupancy stay at around 92%. On the other side, we also see a demand and expansion demand from financial services companies including some government-related institutions as well. And also, the flight quality definitely is an ongoing trend we have seen in Hong Kong, also, of course, in other cities around the world. So with all these positive signs, we believe the market is beginning to stabilize the office market. And I think, of course, we have to observe. We will respond to the market changes. But we believe this is happening in Hong Kong now. On rental reversions, negative rental reversion definitely weighed on our office portfolio last financial year. There's no doubt. But we are pleased to let you know that we successfully achieved very high tenants retention as we did in the past. And I think this resilience is underpinned by the strong core strengths of our portfolio, all right. Excellent accessibility, meticulous property management, high green building standards, integrated retail and amenities, including hotels, integrated projects that we have, a couple of them, big ones in Hong Kong. These all enhance tenants' experience when they are in our office buildings. So we believe this is a very strong competence for us, and we will continue to going forward sort of improving our core competencies. I'll give you an example, we are planning to upgrade our flagship hotels such as Four Seasons and Ritz-Carlton. These enhancements, when they are completed, will definitely elevate occupants, visitors and tenants experience as well because that will provide them with even better quality amenities, convenience for their business associates as well as their guests as well. So we are very optimistic about the emerging positive trends we have witnessed and that will, again, bring to broader market stabilization. So we see the future is coming back in a very positive way, of course, gradually. And -- so this is a very good thing for, I think, every one of us.
Ping-Luen Kwok: Thank you. I think, yes, we are very positive towards the future of the West Kowloon right? It's just Central 2.0, right? Where else in the world do you have office, museum, entertainment, water with a view of the sunset, right? So -- and well, it's everything there, right? In fact, it seems for the tourists that the #1 destination is Cheung Sha Wan, right? And therefore, there's 2 old museums and there's everything there, right? So I think Hong Kong will increase on their role as a wealth management center. And therefore, I think we welcome more Mainland companies or Mainland wealthy people who set up their accounts in Hong Kong. We don't want you to tell our competitors to steal our tenants. So on the very final stage of negotiation. I recommend -- HSBC is going to set up a wealth management office in ICC.
Lo King Wai: In ICC, yes, yes.
Ping-Luen Kwok: Fully, you're fortunate enough to move to ICC office, right?
Lo King Wai: I was in IFC as well, right? So welcome, HSBC. But if I may, add one more point about the leasing progress as a whole. Of course, I don't -- I won't mention names, but -- number one, on the completion, I think this is important. I mean, for our already signed up tenants and all those coming to commit. The construction progress has been going on very well, and we are in the final stage of inspections to be done by various government departments including fire services and also buildings department. We are very close to finishing all this. And I think we can be -- we can affirm that we're going to get the OP before the end of the year. So we're opening the door to tenants. On the leasing side, some of the tenants, they prefer to see the real thing, the building that's completed or now it's close to completion. So these days, we've been very busy in bringing people to the site. So on one hand, we ensure people going there safely. But on the other hand, we don't want to interrupt any ongoing final bit of the construction, not to mention the inspection held by the government. But anyway, we see momentum picking up. I mean, to our Chairman comment made earlier, the facility there, it will definitely be a world-class financial hub, commercial hub, and as well as the wealth management center. Globally, Hong Kong is said to be #1 in the world in the very near future. So I think with all this and the facility, the green and everything, we believe the West Kowloon project, IGC in particular, and also ICC and AST project, we got over 7 million square feet. Commercial space, we got over almost 6 million square feet. So that will become the central district of Hong Kong. Well, in fact, that has already been the case. So we are further strengthening it by adding the two new members, which is IGC and AST in the very near future.
Ping-Luen Kwok: Or In fact, for that location, where you are direct linked to the airport to all the high-speed railway, right? Actually, someone told me they're going to Hangzhou only 6 hours by train, and you can still work on the train and still call your wife or call your boss, say you are still working.
Lo King Wai: Statistics, Chairman statistics already showed us that there are more people long haul, so we call long haul, right, from Hangzhou or even Shanghai, they come to Hong Kong via the high-speed rail instead of traveling on the air, which has a lot of uncertainties, delays and so on and so forth. So in fact, the connectivity of the West Kowloon district is superb. If you look at how many trading lines are running through that neighborhood and also the different parts of Hong Kong, of course, and then regionally through XRL or even globally by taking the Airport Express, which is only less than 30 minutes away from West Kowloon. So with all this, we strongly believe we are confident that location will become the world-class and Hong Kong's or second CBD as Chairman has said earlier.
Ping-Luen Kwok: So add to the final point. All these IPOs coming to Hong Kong, they are almost all Mainland companies, right? They just want to raise money to go out to the world, right? This is a perfect place because you can go back to China, you can go airport and then you can keep a lot of wealth for investment, keep in Hong Kong, it's a perfect place. And then you can go to the museum after work.
Unknown Executive: So let's have the last question. The gentleman in the third row, please.
Unknown Analyst: Three questions. First, regarding Northern Metropolis, I think the government is ready to sell land towards the end of this year. I just want to ask about the Sun Hung Kai's interest level in Northern Metropolis. And if you do -- if you're interested, do you plan to bid for land or by yourself? Or do you plan to partner? And if your partner, what kind of partners would you be looking for? And second, I wanted to ask about China DP. What is the contracted sales target for fiscal '26? And also I want to drill down a little bit deeper. I think I just want to get an update on the Guangzhou South Station project, ICC there because Guangzhou is one of the weakest probably Tier 1 cities. I just want to see how we're doing there. And third is going back to China, Mainland China IP, I think it's no secret that the lot of the luxury main retailers have pulled back on the expansion plans, as pointed out before. I mean there's a flight to quality, but when it comes to expanding, they're not quite as willing. Would that cut into the initial yield on cost that you were planning for some of your new IPs in Mainland China? And also, can you give us some thoughts about the rental income uplift that we can get from the Mainland projects when they're all completed and ramped up?
Ping-Luen Kwok: So your question about luxury retailers. Can you repeat, yes?
Unknown Analyst: In terms of return on your investments, would that cut back on your return -- expected return given the reluctance of the luxury retailers to expand?
Chik-Wing Wong: Okay. I'll take the question on the Northern Metropolis. Indeed, this is a very green visionary project is promulgated by government. And indeed, is gigantic scale is actually spanning over 30,000 hectares which is equivalent to 1/3 of the total land area of Hong Kong is going to be a multi-decade development project. And I'm sure the government is taking the lead to actively go out and to accelerate the project by steering all the major transport infrastructure projects, housing and the emphasizing on the economic projects and paying emphasis on the innovation and technology companies to settle in this region being close to the border. Obviously, this is, as I understand, is huge amount of the land will be resumed by government to facilitate the implementation of these gigantic new town or new development area. Indeed, we are currently have several projects in this location already because it's not completely new, it's actually built on the existing Northern new towns and other developed areas. We have several projects across the NM including Yuen Long, Yuen Long East, Huangpu, Kwun Tong and Fanling as well. We have already committed a couple of residential projects already. And while we will still closely monitor and review opportunity arise and we remain very committed to maintain a prudent financial discipline in all these investments.
Ping-Luen Kwok: Adam, would you like to answer the South Station?
Kai-Fai Kwok: Yes. Thank you. I think with South Station, we've recently handed over 100 units for space to our buyers. And I think they -- honestly, you can ask them, but they've been very happy with our product. And they actually would say they'd love to refer their friends. I think more importantly, for the project, obviously, I think something different from SHKP or what unique at is a lot of developers can promise in the presales or can sell in marketing and branding. But we hopefully, we strive at delivering just what we promised or even better. That's our [indiscernible] building home with heart. And I think it's also reflected in substation. Not only is the hardware good, but we are focused on building the community, too, and our mall actually, our ICC Mall around 20,000 square meters and some office will come online next year that will greatly enrich the whole area and the amenities. And then also, we're bringing in kindergarten and famous schools that [indiscernible] our ex-Prime Minister went to. And so the education schools will open next year. And finally, I would like to say a big football stadium is opening in our area. And I think when it opens next year, it's the biggest in China for now is 75,000 seats. It's going to be the Guangzhou Football Stadium. So actually more than -- almost 2x of our Kai Tak. So I think as we headed over with good praise and as the area matures by next year, with a lot of infrastructure coming by the government. And I thank the government for putting in the infrastructure. And on top, a lot of intercity rails, will have -- the last thing is we'll have similar to Airport Express actually, the new rail will open by end of this year. It's called the Intercity Rail, and it will connect South Station to the Baiyun Airport in 30 minutes, and it will connect South Station to the city center in 15 minutes. And so it's a little bit like our Airport Express with Tung Chung Line. So hopefully, with all that, the sales momentum will continue to pick up.
Ting Lui: Sure. For luxury malls, I think -- Luxury brands, yes. I think -- again, I think I'll reiterate that the goodwill we have built with the luxury brands through our Shanghai IFC Mall, I think we've been able to leverage and extend that to the Nanjing IFC Mall. Currently, it's -- the mall occupancy is already over 90% with stabilized tenant sales. And the mall itself, I think, has established itself as a new destination, right, for luxury shopping beyond the traditional the Tmall, right, tradition area. And for -- looking forward, right, I think for our ITC projects of other -- of our 100 projects, I think generally, internally, we are quite conservative with making rental forecast, right? Normally, it's based on -- we always project based on historical numbers, never quite forward-looking, right? So I don't think -- I think in terms of meeting budgets, I think it will not be a big issue. But in terms of adjusting to the market, I think we are always very -- we follow trends very closely, right, of the market. And so I think a few things, right? I'll react to your question. One is that for both the ICC project and the Hangzhou project, which are 2 of our biggest IP projects coming up in the next few years, I think they are all located in some of the best locations in the city with multiple various lines connecting and also integrated projects being with office, retail, hotel, apartments or service apartments elements nearby or on top of the projects. So in this market, I think the brands, they're very concerned about traffic, right, if you can generate natural traffic in the site. And we believe these inherent elements in the transportation connectivity and the location of the site and the multiple mixes, property mixes, right? Those are kind of what we can offer to tenants to give them confidence about our ability to drive traffic, right? And in terms of my point about trend following, right, I think in China, there's a lot of talk about nature and just like evolution, right? And I think in a way, they are moving very fast, right, with -- and also with preferences and tastes of our customers. And so I think for these new mega projects, we will also actively try to bring in new brands and experiment new trades, for example, new entertainment options, right? I mean the cinema industry is not doing very well. So -- but there are also new up and coming entertainment options, right, that are in the market, which we will bring in an experiment for these new projects. And I think we are able to do that because one of our experience. Two, also, I think on the hardware, we're also very thoughtful in the design, meaning maximizing high ceiling infrastructure, both above and below ground and also ensuring that you have maximized connectivity, right? Each floor will have vehicular and pedestrian access or public transport access, right, on each floor. I think this is something that our project teams are very active in the...
Unknown Executive: So thank you. So this concludes today's analyst briefing. So thank you all for coming. We have some refreshments outside. Please stay and enjoy. Thank you.